Operator: Good day, ladies and gentlemen, and welcome to the Cathay General Bancorp's Second Quarter 2014 Earnings Conference Call. My name is Jasmine and I will be your coordinator for today. [Operator Instructions] Today's call is being recorded and will be available for replay at www.cathaygeneralbancorp.com. Now I would like to turn the call over to Monica Chen, Investor Relations for Cathay General Bancorp.
Monica Chen: Thank you, Jasmine, and good afternoon. Here to discuss the financial results today are Mr. Dunson Cheng, our Chairman of the Board, President and Chief Executive Officer, and Mr. Heng Chen, our Executive Vice President and Chief Financial Officer. Before we begin, we wish to remind you that the speakers of this call may make forward-looking statements within the meaning of the applicable provisions of the Private Securities Litigation Reform Act of 1995 concerning future results and events, and that these statements are subject to certain risks and uncertainties that could cause actual results to differ materially. These risks and uncertainties are further described in the company’s annual report on Form 10-K for the yearend December 31, 2013, at Item 1A in particular, and in other reports and filings with the Securities and Exchange Commission from time to time. As such, we caution you not to place undue reliance on such forward-looking statements which speak only as of the date of this presentation. We undertake no obligation to update any forward-looking statements or to publicly announce any revision of any forward-looking statements to reflect future developments or events except as required by law. This afternoon, Cathay General Bancorp issued an earnings release outlining its second quarter 2014 results. To obtain a copy, please visit our website at www.cathaygeneralbancorp.com. After comments by management today, we will open up this call for questions. I will now turn the call over to our Chairman of the Board, President and CEO, Mr. Dunson Cheng.
Dunson Cheng: Thank you, Monica, and good afternoon everyone. Welcome to our 2014 second quarter earnings conference call. This afternoon, Cathay General Bancorp reported net income of $35.1 million for the second quarter of 2014, a 26% increase when compared to a net income available to common stockholders of $27.8 million for the second quarter of 2013. Diluted earnings per share increased 25.7% to $0.44 per share for the second quarter of 2014, compared to $0.35 per share for the same quarter a year ago. In the second quarter, we continued to experience a strong loan growth. Gross loans increased $263 million in the quarter, representing an increase of 12.7% on an annualized basis. For the first six months of 2014, our loans increased $481 million or 81.5% over the increase of $265 million for the six months ended June 30, 2013. The driver of the increase came from CRE loans which increased $285 million, while single-family mortgages grew by $114 million, construction loans by $64 million, and C&I loans by $24 million. At this time, our expectation of loan growth for 2014 will come in around 10%. For the second quarter of 2014, our total deposits increased by $348 million to $8.58 billion. In the first half, the increase in deposits was $599 million, which represents a 15% annualized increase from December 31, 2013. Our core deposits increased by 13.4% on an annualized basis or $301 million from December 31, 2013. Last Friday we took over an existing branch in Richmond district. We now have two branches in the City of San Francisco. Total deposits in the branch on the date of acquisition were about $45 million. Cathay Bank remains committed to open or acquire new branches to better serve our customers. Since our core conversion in July 2013, we have taken additional steps to make fuller use of the new system capabilities to streamline our workflows. Starting with the second half of 2014, we expect to begin to realize additional operating efficiencies. We shall apply part of the core saved to develop more business and further [ph] lower our efficiency ratio. In the second quarter, our efficiency ratio was 44.92%, an improvement over the first quarter of 49.44%. With that, I will turn the floor over to our Executive Vice President and CFO, Heng Chen, to discuss the second quarter 2014 financials in more detail.
Heng Chen: Thank you, Dunson, and good afternoon everyone. For the second quarter we announced net income of $35.1 million or $0.44 per share. Our net interest margin was 3.37% in the second quarter of 2014, compared to 3.38% in the first quarter of 2014 and compared to 3.30% for the second quarter of 2013. During the second quarter, interest recoveries and prepayment penalties added 9 basis points to the net interest margin compared to 5 basis points during the first quarter. From July 2014 to January 2015, $300 million of structured repos with an average rate of 3.97% are scheduled to mature, which should help further improve our future net interest margin. The maturities are $100 million with a rate of 4.78% in July, $50 million at 3.75% in September, $100 million at 3.5% in November, and $50 million at 3.5% in January 2015. During the second quarter we sold $164 million of 30-year MBS securities as part of our plan to reduce our exposure to higher interest rates. To reduce the level of short-term cash on hand, during the first three weeks of July, we prepaid $171.2 million of our federal home loan bank term borrowings, which had a weighted average interest rate of 1.07%, and incurred prepayment penalties of about $500,000, which we expect to be covered by security gains. Non-interest income during the second quarter of 2014 was $8.5 million, excluding net security gains of $0.5 million. Non-interest expense decreased by $11.2 million to $42.5 million in the second quarter of 2014 compared to $53.7 million in the same quarter a year ago. The decrease was due to $10.1 million of costs associated with debt redemptions in the second quarter of 2013. During the second quarter of 2014, FICA taxes of $525,000 were incurred when the cash bonuses for 2013 performance were paid. Also during the second quarter of 2014, a reduction of $950,000 for a loss from low-income housing operations was recorded to reflect over-amortization of 2013 low-income housing operating losses. We have implemented other enhancements in our data processing capabilities since the conversion -- since the completion of the core conversion on July 15, 2013. Starting with the second half 2014, we expect to begin to realize operating efficiencies provided by our new core system in both our branch network as well as in our backroom operations. At June 30, 2014, our Tier 1 leveraged capital ratio decreased to 12.65%. Our Tier 1 risk-based capital ratio increased to 15.13% and our total risk-based capital ratio increased to 16.43%. Our ratios significantly exceeded well-capitalized minimum ratios under all the regulatory guidelines. At June 30, 2014, our Tier 1 common risk-based capital ratio was 13.83%. Net recoveries for the second quarter of 2014 were $3.7 million or 0.5% of average loans, compared to net charge-offs of $4.4 million in the first quarter of 2014 and $0.9 million of net recoveries in the same quarter a year ago. Our loan loss reversal was $3.7 million for the second quarter and zero for the first quarter of 2014 and for the second quarter of 2013. Our non-accrual loans decreased -- I'm sorry. Our non-accrual loans increased 9.5% or $7.2 million during the second quarter to $77.6 million, or 0.91% of period-end loans, as compared to the first quarter of 2014.
Dunson Cheng: Thank you, Heng. We now proceed to the Q&A portion of the call.
Operator: Ladies and gentlemen, we are ready to open the lines up for your questions. [Operator Instructions] Your first question comes from Aaron Deer with Sandler O'Neill & Partners. Please proceed.
Aaron Deer – Sandler O'Neill & Partners: Hi. Good afternoon everyone.
Dunson Cheng: Hi, Aaron.
Aaron Deer – Sandler O'Neill & Partners: Heng, I had a question. When you were discussing the loan growth, I wasn't sure if I heard you correctly. Did you say that the 10% number you throw out, were you talking about the year-to-date growth or was that what you see as being on target for the full year at this point?
Heng Chen: It's what we expect for the full year. And it's -- now, we tend to be conservative because in the last quarter call we're expecting 8% full-year growth. But right now we're thinking it's going to be a little over 10%. And it's mainly from a slowdown -- not a slowdown in CRE but higher prepayments that we see in the third and possibly the fourth quarter. So in the first quarter, our CRE loans increased by $170 million net. And in the second quarter it only increased by $115 million. So -- and then once again we are losing some small amount of loans due to a very intense price competition here in the third quarter. So that's why we're guiding to a slightly over 10%.
Aaron Deer – Sandler O'Neill & Partners: Okay. And then on the deposit side, the average rates on your money market CDs don't seem to move that much. You seem to be attracting a lot more of those balances. Are you finding that you're having to pay up for some of that fund in at this point? Should we expect to see that starts to show up in the deposit costs going forward?
Heng Chen: No. We had a special promotion in the second quarter for two months. It's for one, two and three-year CDs, where we gave a slight weakened [ph] concession. So for example, for three-year CDs, the rate we offer was 1.3%. And we got quite a bit of deposit growth from there. And so -- and we think our -- we're in good position there. Our loan-to-deposit ratio actually went down slightly at the end of the second quarter. And then here in -- we reinstated with the State of California a public deposit program, so we're going to be adding deposits from that very inexpensive source. It's about 12 or 15 basis points. So we're going to start doing that in the third quarter.
Dunson Cheng: Aaron, this is Dunson Cheng. I want to add to what Heng just said. Even though our CD promotion was on -- promotion was on CD, but, however, we did require our new customer to open a checking account or other account with us to get that special rate. And the promotion, in addition of generating some CD money, we have also gotten a substantial amount of deposits in checking account and also money market account.
Aaron Deer – Sandler O'Neill & Partners: That's great.
Dunson Cheng: -- is synergistic with CD and the other checking account.
Aaron Deer – Sandler O'Neill & Partners: That's terrific. And just one last one, Heng, in your comments you mentioned the uptick in the non-accruals. Anything there that we should be watching for? Is that just kind of normal kind of bouncing around at this point?
Heng Chen: Yeah. The -- our substandard credits actually went down quite a bit. They went down from $351 million at the end of March to $313 million at the end of June. But we just had a couple of real estate loans that are having cash flow problems. They're well-secured and we didn't take charge off on them, but they were placed on non-accrual status.
Dunson Cheng: Yeah. Aaron, this is Dunson Cheng again. The uptick in the non-accrual really due to, as Heng mentioned, one CRE loan and one C&I loan. And both of those loans are smaller in magnitude, around $3 million or so. And the inflow of non-accruals is going to be about [ph] even. For example, in the first quarter we -- you saw a charge of $4 million, and most of that charge-off has been recovery in the second quarter.
Aaron Deer – Sandler O'Neill & Partners: Yeah. It seems like overall that credit trends continue to move in the right direction, so. Great. Thank you. I'll step back.
Operator: And your next question comes from Joe Morford with RBC Capital Markets. Please proceed.
Joe Morford – RBC Capital Markets: Thanks. Good afternoon.
Dunson Cheng: Hi, Joe.
Heng Chen: Hi, Joe.
Joe Morford – RBC Capital Markets: I guess a question on the margin. You know, I recognize in the second quarter you had about 9 basis points of interest recoveries, but based on the prepayment of the FHLB term borrowings that you've done so far this quarter, Heng, do you see that margin finally crossing that kind of 3.40% level here in the third quarter?
Heng Chen: I'm hopeful, Joe. I think part -- there's two things that impact us. One, the cash -- the excess cash on hand continues to build, so it was on average $252 million in second quarter and it was higher at the end of June. The average for June was -- the month of June was about $380 million. But the -- so it's a matter of how fast our loans get booked and grow versus that [ph]. But under -- I knew many investors would ask that so I actually -- I did a pretty detailed forecast by component and off of the two run rate, and it brackets the 3.40%. So if things really break, we would get above 3.4%. If not, we'll get there hopefully in the fourth quarter. But one of the things is we're trying to be more efficient with our balance sheet, so we were under a match funding strategy where we would borrow three years from the Federal Home Loan Bank, and now we're doing -- accomplishing the same thing by doing interest rate swaps on selected fixed-rate loans.
Joe Morford – RBC Capital Markets: Okay. That's helpful. I guess the other question, Heng, was just the -- or maybe, Dunson, the uptick in the commercial loan growth this quarter. Was that primarily in the trade finance side or more kind of traditional C&I type business in the market?
Dunson Cheng: Joe, mostly in the trade finance side. In the second quarter and the third quarter, the quarters that our trade customers are building up inventory, and so they tend to use their lines a bit more than usual. So, yeah, you're right, it's mostly in the trade finance side.
Joe Morford – RBC Capital Markets: Okay. Thanks so much.
Dunson Cheng: Thank you, Joe.
Heng Chen: Thanks, Joe.
Operator: Your next question comes from Brett Rabatin with Sterne Agee. Please proceed.
Brett Rabatin – Sterne Agee: Hi guys. Good afternoon.
Dunson Cheng: Hi.
Heng Chen: Hi.
Brett Rabatin – Sterne Agee: Wanted to first ask about commercial real estate, and you had growth in the quarter and you kind of mentioned in your comments about you expected some commercial real estate to come off in 3Q with pricing. What did you guys do in terms of commercial real estate production in 3Q, what kind of pricing, what kind of properties, and then maybe if you could talk about, you know, kind of what you're seeing from all of this [ph], you know, as you might be too competitive in nature?
Dunson Cheng: Joe, you are talking about commercial construction?
Brett Rabatin – Sterne Agee: No, commercial real estate.
Dunson Cheng: In general, the commercial real estate side of the business actually is quite good and our pipeline is, in my way of looking at it, is good. On the other side of thing is that, what Heng just mentioned, that competition for commercial real estate is really very keen both in structure and in pricing. So on one hand we are booking quite a bit of loans, on the other hand, if -- just like Joe asked about margin previously, on the other hand, we want to make Heng's forecast to be correct at 3.4%. So it's a balance between the two and that makes the job a little bit more difficult.
Brett Rabatin – Sterne Agee: Okay. Maybe we can talk some more on that. And the other thing I just wanted to ask, I know I've asked this before, is just, you know, capital management continue to creep up a little bit in terms of your capital ratios, and was just curious about your thoughts on capital management strategies going forward.
Dunson Cheng: You know, Brett, it has not changed. The priority of capital management of course, the easy thing to do is increase dividend. That's what we have done and we hope to be able to continue with increased dividend. Now it's at $0.07. And prior to recession, we were paying 10.5 cents per share. And we hope that we'll be able to do that soon. And so that would be the first priority. And as you have seen, that we continue to add more branches. And I think the one that we just recently took over in San Francisco, that was the fourth or fifth new branches that we have gotten in the last 12 months. And we shall continue to do that. And of course, we always talk that a good partner would come on the scene and we can use some of the -- our excess capital to fund acquisition. And let me let Heng talk about buyback.
Heng Chen: Well, I think we would view that as a -- as another tool in the toolkit. So we haven't reactivated our authorization because we're in -- we want to get through the DFAS [ph] process and get some improvements in our capital management. But our long-term goal is to have a small buyback capacity available approved by both our Board and the regulators in case there's weakness in our stock. But we would not be active buyers of our stock except under those circumstances.
Brett Rabatin – Sterne Agee: Okay. Well, nice loan growth in the quarter, and thanks for all the color.
Heng Chen: Great.
Operator: Your next question comes from Lana Chan with BMO Capital Markets. Please proceed.
Lana Chan – BMO Capital Markets: Hi, good afternoon.
Dunson Cheng: Hi, Lana.
Heng Chen: Hi, Lana.
Lana Chan – BMO Capital Markets: First question on the expenses. I think, Heng, you named a couple of items on the expense side this quarter, I couldn't quite follow everything, and there were a couple of other things like the OREO expense -- or OREO gain and this $550,000 gain on the debt redemption. So can you kind of go over what the non-recurring things were in the expense line? And then you mentioned several times that there were efficiencies with the core systems conversion expected in the second half of the year. What kind of efficiencies are you looking for?
Heng Chen: Yeah, sure. Sure. So on the -- just to recap the unusual items, we had the FICA taxes on the bonuses. That was $525,000. And then on the low-income housing prior-period prior adjustment, that was $950,000. So in terms of other items, we are -- we have a charitable foundation that's affiliated with the bank and we historically paid, made our contribution, our full-year contribution in the second quarter. So that was $850,000. So that was why marketing went up. Then in terms of the third quarter, we expect, based on what we know right now, to have at least another million of OREO gains for properties that are in escrow. So that expense should be -- should be a positive number. And then in terms of the costs, the benefits from the core conversion, we're guessing it's about $1 million a quarter, and then some portion of it will be reinvested in new staff, new lenders, but the absolute number right now based on our internal targets is about $1 million a quarter.
Dunson Cheng: Yeah. Lana, this is Dunson Cheng. And Heng's number is quite correct in the core saves, but, however, we actually mentioned several times before, we are going to use some part of that core savings to build our business. Our loans and deposits in the first half of the year grew almost like half-a-billion dollars. And so we need to have additional employees to support that growth. And the other thing about efficiency level, we don't have a hard goal to drive our efficiency level to a certain point, and we just want to make sure that both our front office, our backroom office, regulatory requirements are being adhered to by just running the ship very efficiently like we have done over the years. We are hoping that the efficiency level would go down to a point that is -- that we are comfortable with.
Heng Chen: Yeah. And let me just add, you know, I think we're not concerned so much with just the expense part because, unlike many other banks, we actually have top-line growth. So on a year-over-year quarter, our net interest income went up 7% and our non-interest income excluding security gains went up 4%, whereas our core expenses excluding debt prepayments went down 4%. So we think we're in a pretty good position. And secondly, we've been very cautious. In my remarks we said we sold $165 million of MBS in the second quarter, and then we sold another -- that's 30-year MBS, and we also sold another $100 million of 15-year MBS. And we haven't bought any securities except short -- except U.S. treasuries. So at the end of June, our securities portfolio is $1.3 billion, of which almost $600 million is in very short-term treasuries because we are expecting interest rates to go up. And with security yields being so low, we -- we rather sacrifice some current income rather than be locked into a big capital -- big unrealized losses in the future.
Lana Chan – BMO Capital Markets: And just to follow up with that, what were the average yields of the MBS sold?
Heng Chen: It's -- they were about -- they're about 2.7%. They were at 3%, 30-year is three, that we bought it, one or three.
Lana Chan – BMO Capital Markets: Okay. And just last question on that is: does that change your asset sensitivity position at all?
Heng Chen: Yeah. We are still working on June, but we think in our, you know, always on net interest income we were generally up 10% in the 200 basis-point rate shock [ph] for non-interest income. And then for market value equity, we think it'll be in the up 200 basis-point rate shock [ph], it'll be in the 3% to 5% range. So it'll be a lot different than what we had in the first quarter Q.
Lana Chan – BMO Capital Markets: Okay, great. Thank you.
Heng Chen: Yeah.
Operator: And your next question comes from Julianna Balicka from KBW. Please proceed.
Julianna Balicka – KBW: Good afternoon.
Heng Chen: Hi.
Dunson Cheng: Hi, Julianna.
Julianna Balicka – KBW: Hi. I have a couple of questions. One, in terms of ongoing pipeline of potential recoveries both in the loan recoveries that would flow through your provision line and also in interest income recoveries in your loan yields, what are some of the pipelines that we should think about in 3Q and 4Q of that?
Heng Chen: We have a fairly large recovery that we would expect to get in the third quarter. It's several million dollars. And we had gotten part of that recovery in the second quarter, and this is for a loan that was charged off in the fourth quarter. So based on what we see right now, we're likely to have net recoveries again in the third quarter. And then in 2015 we have some -- a few larger recoveries towards the third quarter of next -- of 2015.
Julianna Balicka – KBW: So as we built those recoveries into our reserve expectations, kind of at what level do you expect your reserve coverage of loans to stabilize at?
Heng Chen: Well, right now we're at 2% and our loans are growing. But it's -- I think our peers are down to 1.6% or something like that. So we're working on our model. I mean Kim is here, so he's been retired from these conference calls, but our Chief Risk Officer, Kim, if you want to add something there or?
Kim Bingham: No. I mean I don't see large provisions being added certainly, and just our anticipated loan growth is obviously going to push down that ratio to some degree. But I think we'll be -- continue to be rather well-reserved.
Julianna Balicka – KBW: Okay. And then on the recoveries impact onto loan yields, should we continue to think about a few basis point each quarter of loan yield positive impact?
Heng Chen: Yeah. Well, this -- first quarter was 5, second quarter was 9. We think the third quarter would probably be 5 basis points, hopefully, so. That's both recoveries and prepayments. Most of our commercial real estate loans, if they're fixed rate, carry prepayments. So the bulk of that in the second quarter was from prepayments rather than recoveries.
Julianna Balicka – KBW: Got it. Okay. And then in terms of the -- you mentioned that you have been reinstated with the State of California public deposit program, which is excellent to hear. And when you go back to that in the third quarter, how much or how quickly do you expect to bring on that funding?
Heng Chen: Well, the limit of $300 million we're going to -- we've been approved for $50 million and then we hope to -- we used to be at the limit of $300 million before the recession. So it's our plan to phase that in over six quarters.
Julianna Balicka – KBW: Phase in the $50 million over six quarters or get to the $300 million over six quarters.
Heng Chen: Get to the $300 million.
Julianna Balicka – KBW: Okay. Thank you.
Heng Chen: Yeah, thank you.
Operator: At this time there are no questions in queue. [Operator Instructions] Thank you for your participation. I will now turn the call back over to Cathay General Bancorp's management for closing remarks.
Dunson Cheng: Thank you again for joining us for this call. And we look forward to talking with you at our next quarterly earnings release. Thank you.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the presentation. You may now disconnect. Good day.